Operator: Good day and welcome to the Enterprise Financial Services Corp Earnings Conference Call. Today’s call is being recorded. At this time, I would like to turn the conference over to Peter Benoist. Please go ahead, sir.
Peter Benoist: Good afternoon and thank you for joining our Q3 conference call. I’d like to remind all of our listeners that our webcast slides are available through our website. And the company’s the earnings release, which was furnished on SEC Form 8-K earlier today. Please refer to Slide number 1 of the presentation titled forward-looking statement. And our most recent 10-K and 10-Q for reasons why actual result may vary from any forward-looking statements we may make today. Our approach of continued improvement in core fundamentals results in a strong performance from the third quarter period. Earnings were $0.48 per diluted share were 12% higher then the prior quarter and 17% higher year-over-year. More importantly, core results not including the effects of the PCI portfolio equal $0.44 per diluted share or 92% of reported earnings. And we’re 60% higher than our prior quarter results and 19% greater year-over-year. Return on average asset and return on average tangible common equity measures were both strong for the quarter at 1.13% and 12.65% respectively and compare favorably to our return on assets of 102% and our return on tangible common equity of a 11.98% in the year ago period. Core returns of 103% on average assets and 11.56% on average tangible common equity were also quite strong for the quarter. On a core basis, solid loan growth of 9% annualized coupled for the effective margin management resulted in an increase of 3% in pre-provision net interest income compared to the length quarter at a 9% year-over-year growth rate. Loan pricing discipline remain in tat as portfolio loan yields declined a modest one basis point from the length quarter in spite of continued strong competitive pressures in all asset classes and across all of our markets. We were particularly please with the strong growth in the C&I loan category up a 11% annualized as this loan category represents the strength of our relationship base delivery model, which is design to acquire and grow long-term relationships and these are primary focus and strategy. The strategy is reflected in the 5% linked quarter or 20% annualized growth in noninterest bearing deposits as we continue to gain market share in both the commercial and business banking segments of our business. From a capital perspective, we’re comfortable with current levels as they position us to support not only current but also expect future strong earning asset growth rates. Finally, I’d note that the board approved an additional $0.01 for common share increase in the Company’s quarterly dividend to $0.08 a share. As an indication of its continuing confidence and the company’s ability to execute at the high level in a still difficult banking environment. I would like to now ask Scott Goodman to give you a deeper understanding of third quarter results and the context of the current environment and market conditions. Scott?
Scott Goodman: Thank you, Peter. We continue to build the loan account during the third quarter, posting net growth of $59 million. As reflected on Slide number 3, we remained on steady annualized pace from last quarter, but the trailing 12-month growth rate of 13%. The growth emanated primarily from the St. Louis and Phoenix markets and reflected a mix of general, specialized, and piloted [ph] mix strategies. Moving to Slide number 4. The C&I segment of the portfolio continues its strong growth trajectory, up 17% over a year ago and contributing $36 million or 60% of the growth for the quarter. A breakdown of overall loan growth is outlined in the segment chart on Slide number 5. We continue to move new C&I relationships into the bank through a steady and disciplined accounting [ph] process. Our focus has been consistent messaging to small and mid market businesses that tend to fall below the radar of the larger banks, resulting in nice growth in the general C&I category for the quarter. The niche lines of business remained active as well with good deal flow across the border. The life insurance premium business posted $9 million of growth for the quarter, reflecting a seasonal uptick relating to premium state from the existing policy book, which is weighted somewhat towards the second half of the year. In the tax credit business, it was an active quarter, as we won several pieces of new business utilizing our new market tax credit expertise. These leverage loans were used to facilitate capital projects in several low-to-moderate-income communities, creating sustainable job and differentiating enterprise bank offerings. As a result, we were able to pull a coveted long-term relationship away from a major competitor in St. Louis and significantly enhance several other existing relationships. Growth for the quarter also includes acquisition of roughly $26 million in large ticket specialty consumer term debt, which is included in the other category on Page number 5 chart. We continue to explore expansion amidst lending strategies as a means to enhance returns and compliment our core market-based business. Consistent with the development of our current specialty businesses, we made a modest investment that will allow us to evaluate the longer-term merits of this particular niche, as we study the market and monitor performance of a newly acquired portfolio. The enterprise value lending business continues to be busy with our teams in St. Louis and Kansas City doing additional deal flow, resulting from expansion of sponsor relationship into other markets. Following a robust second quarter, new M&A closings declined slightly declined in Q3. And some churn in the portfolio resulted in a modest reduction to the book. Overall, however, this niche is up nearly 22% year-to-date. And the pipeline of deal activity indicates continued momentum. We expect a typical seasonal pick up, into the fourth quarter, as firm’s managed closings to year-end deadlines. Origination of new industrial real estate slowed slightly in the quarter. Now we did experience some sales of property and refinancing into permanent debt markets, resulting in a slight reduction to the CRE portfolio. We are still seeing a steady flow of acquisition and development opportunities, particularly in the Arizona and Kansas City markets. The commercial real estate markets remain very competitive and our growth here has been consistently focused on investors but we can develop a comprehensive relationship or projects where we can offer a unique solution and get paid accordingly. On a regional basis, Slide number 6, shows that third quarter growth was centered around the St. Louis and Arizona markets. The St. Louis originations were bolstered by the new C&I, life insurance premium and tax credit business, as well as the aforementioned consumer portfolio acquisition. Arizona posted a balance mix of both new C&I relationships and several investment real estate deals. Kansas City was active in growing its EVL book and originating several new relationships, but experienced some larger pay offs from the sale of properties, businesses and secondary market refinancing that offset this production for the quarter. Year-to-date Kansas City has experienced double-digit annualized growth. The competitive environment is steady and remains robust, both in terms of competition for new clients and new banking talent. We continue to recruit opportunistically in all markets, experienced bankers that can move relationships or build teams. During the quarter, we added one experienced RM in the St. Louis market and also recruited a Sales Manager to support the growth and continued expansion of our business banking channel. Relative to funding, our focus has been on growing core deposits and managing the overall cost of funds. Deposits shown on Slide number 7 are up for the quarter and an increase over 12% from one year ago. Growth has come from moving new relationships into the bank, as well as a focused strategy targeting several deposit-rich industry segments. While DDA as a percentage of total deposits remained relatively consistent with the prior quarter, our cost of funds has declined by nine basis points from this time a year ago. The fee businesses showed steady growth. Deposit service charges are up 13% from prior year paced by traction on cross selling initiatives, as well as net new C&I relationships. State tax credit brokerage revenue was up nearly 24% year-to-date for 2015 compared to the similar period in 2014. Declining of revenues in this business is somewhat lumpy and weighted towards the later months. But overall, we expect to fully sell our available inventory of low-income housing tax credit again in 2015. Wealth management revenue was stable with fees on new relationships offset by the market impact of lower asset values. Now, I’ll turn it over to our CFO, Keene Turner for financial commentary.
Keene Turner: Thank you, Scott. Third quarter results continue to reflect a steady progression of high-quality core earnings. Our 2015 return on average asset is 1.11% up 20 basis points from the prior year period and our return on average tangible common equity was 12.5%. Results for the quarter were favorable both on a reported and core basis. You heard from Peter and I can reiterate enough, that both measures delivered returns in excess of 1% on assets. Slide 8, outlines the components of diluted earnings per share. Reported EPS was $0.48 per share, core EPS was $0.44 with the difference being, purchased credit-impaired loans contributing another $0.04 per share to overall EPS. Slide number 9, summarizes the changes in our core earnings per share in the linked quarter. Net interest income dollars grew and contributed an additional $0.03 per share while reduced provision for loan losses contributed $0.05 per share. We also recognize the state income tax true-up [ph] in the quarter which added an additional $0.02 per share to the core EPS. Offsetting the increases were the modest decline in the non-interest income of $0.03 per share and expenses were $0.01 higher than the second quarter. Slide 10 demonstrates the impact that continued portfolio loan growth and net interest margin management that had on net interest income dollars. Net interest income totaled $27.1 million for the third quarter, and grew $0.8 million in the linked quarter and $2.2 million, compared to the prior year quarter. The growth in net interest income can be attributed to 13% portfolio loan growth over the last 12 months, with annualized growth of 9% for the year-to-date period. The portfolio loan growth has increased our earnings power by approximately $0.27 per common share on an annual basis over the prior year period. Core net interest margins were 3.41% for the third quarter, a decrease of five basis points compared to the second quarter. Despite the decline of core net interest margins, we’re encouraged by the underlying strength of the components as the decrease was primarily due to increase liquidity from successful deposit gathering efforts throughout the third quarter. Additionally, we are pleased with our trend of stabilized portfolio loan yield. We started the year at 4.15%, expanded to 4.17% in the second quarter and the yield was 4.16% for the third. As a result we’re increasingly encourage by the continued successful defense of portfolio loan yields and more generally, core net interest margin over the upcoming quarters. Nonetheless, we remain much more focused on growth in net interest income dollars than net interest margin percentage. We maintained our modestly asset-sensitive interest rate risk profile as 63% of our loans are variable rate and our average duration for the portfolio was unchanged. The loan to deposit ratio declined 3% to 95% at September 30, which provide some additional flexibility moving forward. I will also mention with respect to the size of the investment portfolio we pre-purchased investment securities for both our planned fourth quarter purchase activity and expected cash flows in the interim because of the strong deposit generation. Slide 11, depicts credit trends for the last five quarter. Net charge-offs decline to two basis points for the third quarter. When we combine the low level of net charge-offs with the 48% decrease in non-performing loans, they drove a one basis point decline in the level of allowance to total portfolio loans, which stood at 1.24% at the end of the quarter. The resulting provision for loan losses of $600,000 generally reflects loan growth during the third quarter. You can see that our levels of non-performing loans and assets are less than half our peer group at around 30 basis points. We are always focused on maintaining strong credit quality metrics and we continue to be pleased with our credit indicators compared to industry and peer levels. The next slide shows our five-quarter trend and operating expenses, which were essentially stable at $19.3 million for the quarter. Growing revenue for the quarter kept the core efficiency ratio below 60% for the second consecutive quarter. Our continued performance of expenses toward the lower end of our guidance has been driven largely by controlling professional fees and loan legal expenses. We expect to continue to maintain this discipline during the remainder of the year and throughout 2016, as we target total quarterly expenses to be between $19 million and $21 million. Slide 13 demonstrates the continued growth in our core EPS. It reflects the summary of all of our efforts, and we continue to have it, as our principle focus for driving returns and value for our shareholders. We had done so by saying true to our vision and executing consistently on our strategy. Slide 14, summarizes our progress on each of our financial priorities, as compared to a year ago. 19% core EPS growth driven by sustained steady growth in net interest income has been and remains our top priority. Core net interest income dollars has increased by 9%, from the prior year and we have defended core net interest margin well, despite continued headwinds from run-off of purchase credit impaired loans, and challenging interest rate and competitive conditions. Our expectation for portfolio loans of at least 10% growth remains unchanged and is expected to drive consistent and favorable growth in net interest income dollars. Despite the growth, we have not lost sight of maintaining the highest quality balance sheet, by maintaining our credit standards, as we have favorable levels of non-performing loans, prudent allowance coverage levels, preserving an interest rate risk profile that is modestly asset sensitive. We continue to grow the amount of net interest income, we expect to earn over the next 12 months, with or without interest rate changes. Continuing to execute and further develop deposit gathering strategies while managing capital levels prudently to support growth over the long-term. We are certainly proud of our demonstrated trends in increasing returns and we are pleased to have eclipsed 1% core return-on-average assets for the third quarter. Focus has been the key for us, as we have maintained high level customer service, stayed true to our business model and translated both to growing our profits and returns. We are committed to building both profits and returns with incremental progress achieved each period to be aggregated over the longer-term horizon. We believe this focus further enhances the value of our franchise, validates the strength of our business model and will continue to drive shareholder value, as we execute on our strategy. Thank you for your interest in our company and for joining our call, today. And at this time, we will open the line for questions.
Operator: [Operator instructions]. We will take our first question from Chris McGratty with KBW. Your line is open.
Chris McGratty: Hey, good afternoon, everybody.
Peter Benoist: Hi, Chris.
Chris McGratty: Keene, I just want to clarify the comment you made on the securities book in the pre-purchase in the quarter. Should we be thinking given that comment that we should be at around $5 million quarterly run rate in terms of the size of the brokerage that likely to kind of fall from the third quarter as cash flows come in?
Keene Turner: We did about $25 million of cash flow well at a quarterly basis so we expect it to decline by that level and then stay relatively in proportion to earning assets as we move forward. We just have that extra liquidity in the second quarter, I’m sorry, in the third quarter and we chose to pre-purchase just to be able to put that back to you so we can earn a little bit of net interest income on it.
Chris McGratty: Okay, so it’s that 14% that you have been keeping there is probably the way to think about it into next year.
Keene Turner: Absolutely.
Chris McGratty: Okay. You briefly touched about capital, Peter. Obviously, you’ve raised the dividend and the growth is pretty good. What is the outlook for maybe accelerating capital return either through acquisitions or you still have a loss share that could use the portion of your capital to terminate that and clear up the visibility bit early, is that not really being considered at this point?
Peter Benoist: I think we’ve indicated in the past and it’s still true. I mean, our current focus is on core fundamentals, we’re showing good double-digit growth rates. Our expectation is that will continue. So that’s our primary focus. I think we said in the past on the M&A side, if we can find opportunities that really speak to, what I call, enhancing our strategic strengths, we would be very opportunistic in that regard. But I think I’ve said before I don’t look at M&A necessarily as a strategy but more as a tactic. So while we are doing some work around the M&A side, there’s nothing we’re offering [ph] currently although, I mean, as it relates to our thinking, it’s certainly a part of our thinking.
Chris McGratty: Okay and then maybe on the loss share, if you don’t mind.
Peter Benoist: I don’t know that we looked at loss share as maybe it’s a timing issue that relates to capital return or deployment. We certainly are entertaining that and know that that’s a viable option but it’s got to have an economic return to us or an economic benefit. So in that regard it would be just a timing issue. We would hope there will be capital accretive over the long-term and we won’t do anything, we didn’t think otherwise.
Chris McGratty: Thank you.
Operator: [Operator Instruction] We’ll go next to Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis: Thanks, good afternoon.
Peter Benoist: Good afternoon Jeff.
Jeff Rulis: Scott you sort of mentioned the deposit a couple of comments, I guess specifically could you get into those programs that are in place that drove a lot of the strength that was perhaps was there some seasonality there?
Scott Goodman: Yes, I think it was more we’ve taken a much more prescriptive approach in the way we planned for and insist for deposit hunting in our sale process. So I think what you are seeing there is growth related to the new relationships that we’re bring in which are generally C&I. We’ve directed some bankers specifically to focus on deposits and are hunting in certain industries and niches that would tend to carry more deposits on their balance sheet. And I think that’s really what you are seeing.
Jeff Rulis: Okay. That’s how you manage the balance sheet with that loan to deposit ratio bounce at around in the 90 range, I mean, is it similar approach you are going to continue to stay on the C&I lenders to build that deposit or you got a little more flexibility this quarter than you did…
Scott Goodman: Absolutely it’ll remain a focus for us. I think certainly building our franchise value is connected very closely with the deposit base and I think the C&I focus is going to continue to help us develop that and we’ll continue to develop the strategies that go after the low-cost deposits.
Jeff Rulis: Great. And then maybe just one other on the loan growth outlook, you mentioned your expectations to close the year, I don’t know if it’s too early to roll that ahead to all of 2016, the way you see the environment shape up, any early expectations for loan growth next year?
KeeneTurner: And this is Keene, I think, we expect to deliver on our guidance for loan growth with a strong fourth quarter. And I think we have a very similar outlook as it rolls into 2016. We have as Scott mentioned strong calling efforts in place and I think we expect to continue that and compete very well for the growth.
Jeff Rulis: Okay. Thanks.
Operator: [Operator Instructions] We’ll go next to Andrew Liesch with Sandler O’Neill and Partners. Your line is open.
Andrew Liesch: Hey, guys. Just one follow-up from me. I guessed if you can talk a little bit more on the consumer portfolio purchase like what sort of loans they are, yields just thoughts and thoughts on how that idea came about?
Peter Benoist: Yes, sure I can tackle it. As I said, its consumer paper, its specialty niche fixed figure, secured both in our footprint and outside of our footprint. We’re really looking at as a way to evaluate that particular niche, we were taken there by an existing banker of ours who underwrote loans in this particular niche. So it’s really an evaluation process that’s similar to the way that we guide into some of the other niches that we’re currently in. I think if we decided that it has legs and merit for expansion, we could go into more detail there. But it’s certainly, I would say, it’s expertise-driven, which is consistent with what we do in some of the other niches.
Andrew Liesch: Gotcha.
KeeneTurner: And Andrew it’s Keen.
Andrew Liesch: Yes.
KeeneTurner: As it relates to the yield the net purchase yield is about 3.5%, we paid a premium to get it. So it will be a little bit better yielding piece of paper once we would be the drop development origination capabilities there.
Andrew Liesch: Got you. Thanks guys.
KeeneTurner: Thank you, Andrew.
Operator: And with no questions remaining with – I’m sorry with no questions remaining I’d like to turn the call back to management for any additional comments.
Peter Benoist: No real additional comments other than to say, thank you for joining us on the call today and thanks for your interest in the company. And we look forward to the fourth quarter call with you as well. Appreciate it, thanks very much.
Operator: Ladies and gentlemen, that does conclude today’s conference call. And we thank you for your participation.